Operator: Good morning, my name is Tammy and I'll be your conference operator today. At this time, I would like to welcome everyone to the third quarter 2008 earnings conference call. (Operator Instruction) Mr. Stokx, you may begin your conference.
Edward A. Stokx: Good morning and thank you for joining us for the third quarter 2008 PS Business Parks investor conference call. I am Ed Stokx, CFO of the company, and with me are Joe Russell, President and Chief Executive Officer, and John Petersen, Chief Operating Officer. Before we begin, let me remind everyone that all statements other than statements of historical fact included in this conference call are forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond PS Business Parks' control, which could cause actual results to differ materially from those set forth in or implied by such forward-looking statements. All forward-looking statements speak only as of the date of this conference call. PS Business Parks undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. For additional information about risks and uncertainties that could adversely affect PS Business Parks' forward-looking statements, please refer to the reports filed by the company with the Securities and Exchange Commission including our 2007 annual report on Form 10-K and subsequent reports on Form 10-Q and Form 8-K. We will also provide certain non-GAAP financial measures. Reconciliation to GAAP of these non-GAAP financial measures is included in our press release which can be found on our Web site. Now, I will turn the call over to Joe.
Joseph D. Russell: Good morning and thank you for joining us. In a moment I will touch on PSB’s third quarter results, then JP and Ed will go into more detail on the quarter. I would like to begin, however, by stepping back and discussing PSB’s exceptionally strong position, as the current economic crisis continues to unfold. As a number of you are aware, PSB has one of the most conservative balance sheets in the industry. Historically, we have prioritized the ability to maintain low payout ratios with a firm focus on cash retention. Today we have just 3% of our capital structure tied to mortgage debt as we had adhered to a state philosophy of utilizing perpetual preferred equity to fuel our growth. Approximately $811.0 million of this equity is in place today with a combined yield of 7.2%. The permanent nature of this equity eliminates any interest rate or maturity exposure. There are no other exotic financial instruments or onerous maturities that will force us to make decisions at inappropriate times or under unusual circumstances that would be to the detriment to our shareholders. Combined, preferred equity and debt account for approximately 43% of our capital structure and we currently generate $10.0 million or more per quarter in free cash flow. This strong, simple, and defensive capital structure positions the company incredibly well in times like these as PSB’s payout ratios are near industry lows. The management team at PSB is not burdened by having to focus on renegotiating lease terms or funding our dividend. Instead, our primary focus is operating a portfolio that has broad appeal to a large and deep pool of users in the markets we have chosen to own assets. These are markets we know exceptionally well and PSB’s leasing and property management teams are experts at finding ways to consistently outperform their respective markets, in and out of economic cycles. I am pleased to say that even under the conditions that we face today, PSB’s operating strategy of attracting and retaining small users in our 70 concentrated business parks continues to generate strong performance. So turning to the third quarter, I would like to highlight PSB’s results, which validate the benefits of our strategy. Leasing results totaled approximately 1.3 million square feet of transactions. This volume came about by signing 360 leases with the average user size of approximately 3,600 square feet. Tenant demand was broad-based by industry type as we tapped into a wide range of users within our business parks. Comparatively, company occupancy improved by 50 basis points and FFO per share was up 6.5%. Customer retention improved slightly from the second quarter to 56%. Cash rental rates decreased by 3.5%, weighted down by a partial renewal with a large tenant in Northern California and a key renewal with Intel in Portland. Stripping out these two transactions, rental rates actually improved by 2.2% on the remaining 358 leases signed. J. P. will discuss the markets in more detail along with the tenant behavior we are seeing. On balance, we captured more than our fair share of market activity as our customers are attracted by our ability to deliver value for their real estate needs. The acquisitions market is basically frozen and we have no new acquisitions to report. For the last five quarters we have chosen not to acquire any properties, as few attractively priced assets have entered our markets. We have been patient and disciplined and we will continue to assess the changing but still unproven landscape of asset valuations. We currently sit on approximately $60.0 million of cash along with an untapped $100.0 million credit facility and will keep our powder dry to pursue opportunities in this environment. Fundamentally, we are optimistic that strategic and accretive situations will surface, especially due to the growing pressure that many over-leveraged owners are facing. In essence, this is an environment that should reward those with the strongest capital structures and proven abilities to deliver long-term shareholder value, which are key strengths of positioning PS Business Parks for continued success. Now I will turn the call over to J. P.
John W. Petersen: As Joe mentioned, the leasing environment is challenging across most of our markets but in no way has it shut down. In fact, four of our twelve markets had positive net absorption, another four were flat, and four were just slightly negative. Positive net absorption occurred in Washington Metro of 275,000 square feet, Texas 540,000 square feet, and Seattle 200,000 square feet. Orange County had relatively modest negative net absorption of 318,000 square feet, and Los Angeles was slightly negative at 478,000 square feet. San Diego was essentially flat. Portland was negative 125,000 square feet, and Silicon Valley negative 260,000 square feet. As I mentioned last quarter, Texas continues to be a strong market with minimal impact from financial or housing woes. Washington Metro, for our product type, is fairly healthy and the Miami Airport market is maintaining its demand as a global trade center. Orange County is difficult for office space, specifically Class A, but small tenant flex-industrial is holding its own and there are still deals to be done. In Northern California activity has slowed especially for larger R&D spaces, in which we don’t compete. But again, the small tenant community is still active. Portland is slow with very little demand, but spec construction is in check. In summary, markets have slowed but without question, small users are driving velocity and we are pleased by our ability to capture activity in this segment of the market. Concessions are creeping up in higher finished office space but we have yet to see large TI or other concession packages in our traditional business park flex or industrial product. PSB’s platform provides small users several advantages, including a flexible business park environment, an owner that can provide value, stability, and professionally managed real estate. Users see value in these areas, even in turbulent times. Also, as you can see in our analyst package on page 15, we have a broad array of users in multiple industries located in a variety of markets. This provides us with a diverse customer base that helps generate a pipeline of deal activity that we work hard to cultivate within our portfolio. Due the JR nature of our product we can tap into multiple industry segments, lease to lease, giving us the ability to react to demand cycles by industry. Despite what many feel are difficult market conditions, PSB’s focus resulted in an increase in total company occupancy of 20 basis points from the second quarter to 93.7%. Maryland increased 180 basis points to 92.5%. Portland was up 200 basis points to 84%, while Miami grew occupancy by 100 basis points to 97.3%. And Los Angeles improved by 50 basis points to 95%. Orange County occupancy fell by 170 basis points to 92.1%. This was primarily due to two larger leases totaling 42,000 square feet leaving the portfolio. Aside from these two deals we completed 27 transactions in Orange County for 76,000 square feet. We completed a total of 360 transactions for 1.3 million square feet with an average of 2.9 years. Last quarter I discussed our ability to adapt to our customers’ need for flexibility. One way we are able to achieve this is through shorter lease terms. This allows us to meet our customers’ needs while getting to rent increase quicker as markets recover in one, two, or three years. Additionally, our ability to generate new business was demonstrated in the quarter. Of the 360 transactions, 163, or 45%, were new deals across a wide variety of industry sectors. Specifically, 17% of our volume was with computer hardware, software, and related companies; 12% tied to government tenants; and 10% with warehouse, transportation, and logistics companies. No other single industry sector represented more than 10% of our total transactions in the quarter. Rental rates grew over expiring rents in eight of our twelve markets. Rents grew in Austin by 13%, Seattle was up nearly 9%, Miami rents increased by 6.8%, Dallas rents increased 6.5%, and Orange County increased 1.8%. Maryland rents fell 10.9% and San Diego split 2.7%. In Northern California overall rents decreased 30% due to a single renewal with the County of Santa Clara, a long-term lease signed during the high point of the dot-com boom. Stripping out this large deal, rents in Northern California were up 2.4%. We continue to focus on retention and getting to our customers’ lease expirations early. With the leases completed during the first three quarters of the year, 4.6% of portfolio rents are set to expire in the fourth quarter. In 2009 we have a normal lease expiration schedule of approximately 22% of annual rents for 4.4 million square feet, which has a typical balance across our twelve core markets. Now I will turn the call over to Ed.
Edward A. Stokx: FSO per share was $1.14 for the third quarter, an increase of 6.5% over FFO for the third quarter of 2007 of $1.07. On a comparative basis same park NOI increased 2%. Revenue increased 3.5% over the third quarter of 2007, driven by a 40 basis point increase in occupancy and a 3.1% increase in average realized rental rates. Expenses for the quarter increased 6.9% over the third quarter of 2007. The increase in operating expenses was driven by two primary factors. First, during the quarter we continued to experience higher property tax expense, the most significant impact coming from the implementation of a transportation tax in the state of Virginia. Also contributing to the expense increase were higher utility costs driven by both higher rates and higher usage. We anticipate that we will be able to recover a significant portion of these costs through our triple net leases. For the nine months ended September 30, 2008, FFO was $3.36 per share compared to FFO for the same period of 2007 of $3.13 per share, an increase of 7.3%. During this period same park revenue increased 3.3% while operating expenses increased 4.9% resulting in a 2.6% increase in same park NOI. Consistent with the results for the third quarter, the revenue increase was due to a 60 basis point increase in occupancy and a 2.7% increase in realized rental rates. The expense increase was again driven by property taxes and utility costs. Recurring capital expenditures for the third quarter were $8.4 million compared to $11.3 million for the third quarter of 2007. The change from 2007 is due to the timing of capital projects combined with the variability of transaction costs. Recurring capital expenditures will vary from quarter to quarter depending on the volume, timing, and nature of leasing activity. For the nine months ended September 30, 2008, our total recurring capital per square foot was $1.39 which, based on historical trends, we believe is indicative of our ability to control capital costs amidst a challenging economic environment. PSB’s historical and continued focus on retaining high levels of cash provides a great source of liquidity in the current economic environment. For the three and nine months ended September 30, 2008, the company has retained $11.9 million and $32.6 million respectively. We continue to maintain industry-low payout ratios with an FFO payout ratio of 38.2% and an FAB payout ratio of 50.6% during the quarter. In the first quarter of 2009 the company intends to repay a $5.1 million mortgage maturing with retained cash. As we noted in the second quarter, we continue to closely monitor our tenants’ ability to meet their lease obligations. I would reiterate that we believe we have a very thorough and diligent underwriting process, which is reflected in our modes write-offs of uncollectable receivables. For the nine months ended September 30, 2008, our write-offs of uncollectable balances approximated $500,000, or 2/10 of 1% of revenues, while in 2007 they approximated 3/10 of 1% of revenues. Our teams remain in constant contact with our tenants so that we can respond quickly in an effort to minimize our exposure to tenant defaults. We continually monitor our exposure to potential uncollectable balances and we believe we have sufficient reserves at this point. Given the severity of the current economic crisis, I want to reiterate our belief that we have a proven operating platform that is structured to be both responsive and adaptive, which enables us to source business during both prosperous and challenging economic times. Combining this platform with a capital structure that has minimal debt, no restrictive covenants, no maturity or refinancing exposure, PSB is particularly well positioned to confront economic certainty while continuing to generate significant free cash flow and when appropriate, we will use the capital structure to make accretive capital allocations. With that, we will open the call for your questions.
Operator: (Operator Instructions) Your first question comes from Analyst for Michael Bilerman - Citigroup.
Analyst for Michael Bilerman: Can you just give a little bit of color regarding some of those discussions you have been having with your tenants about renegotiating those leases?
John W. Petersen: What we’re talking about here is we’re not having major discussions with, in fact, we make it a practice not to re-negotiate leases, I’m not sure where you got that from but we’re not going in to re-negotiate leases at all. We are flexible when renewing customers, in terms of term and those kinds of things, but we don’t make it a practice by any stretch of re-negotiating leases, at all. That’s not what we do.
Analyst for Michael Bilerman: Your leasing commissions are down significantly this quarter. I’m assuming that is driven by the high level of renewals. Do you think that is sustainable or is that likely to reverse any time soon?
John W. Petersen: That will fluctuate from quarter to quarter. We are focused very much on being close to our customer base, we are focused, as I mentioned, getting to renewals early. And to the extent that you can get to your customers without a broker, transaction cost will go down. But that could change from quarter to quarter depending on marketing conditions and deal volume and those kinds of things. But we are definitely focused on going direct to our customers. No doubt.
Joseph D. Russell: To add on to that, that’s another element of the broad array of tenant situations that we frequently encounter. And again, with an average tenant size of 3,500 square feet, the representation by a broker for many of our tenants just does not occur. And as J. P. mentioned, it is certainly one of our goals to stay as close to our tenants as possible, and with that we can hopefully find ways to keep our transaction costs contained as well.
Operator: Your next question comes from Michael Mueller - J.P. Morgan.
Michael Mueller: When you think about the third quarter in terms of what was happening in terms of the environment, leasing, discussions with tenants, occupancy, how, if anything, has it changed once you have gone through the midway point of September and into October? Do you still get the feeling that the positive spreads are sticking, that occupancy is sticking?
John W. Petersen: We were pleased with our level of activity in the quarter, especially level of new deals that we were able to complete. As I mentioned, from the headlines you read you would have thought everything shut down. Clearly deals were taking longer, decision makers were waiting and waiting and waiting before they committed to something. For obvious reasons. But we have some tactics we use, tenant to tenant, customer to customer, to get them to make decisions and we were able to do that throughout September. In fact, we had a strong September.
Michael Mueller: And what about October?
John W. Petersen: October is one of those things that, we’re fighting hard in October. We’re not going to talk about our leasing so far this month. You know what the environment is like.
Michael Mueller: You mentioned earlier about the two big tenants with negative roll downs. When you look at the lease expiration schedule for 2009, do any similar situations jump out at you where you know you are going to take a big hit?
John W. Petersen: No, we don’t have any similar situations looking into 2009. As I mentioned in my remarks, we have a typical roll over schedule in 2009 in terms of expirations by market and we are reaching very deep into 2009 for our renewals, of all sizes and in all markets. Like most people are. There is nothing unusual about 2009.
Joseph D. Russell: To color that a little bit more, why we highlighted that one transaction in Northern California, it was a deal that had been signed way back in the dot-com boom era and through that tenancy for quite some time and being in the County of Santa Clara, they have been a long-term tenant of ours. We were actually surprised that they stayed in the space. They kept about half of it. And the market conditions were very different, certainly than they were seven or eight years ago. But as J. P. mentioned, the far majority, or every other deal that we did averaged out actually slightly positive, up 2.4%. So that was an unusual outlier for us for this quarter. We typically don’t run across those kind of situations.
Michael Mueller: Switching gears to acquisitions, if you are thinking about the type of product that is coming to the market, are you seeing changes yet in offering prices or the number of transactions coming?
Joseph D. Russell: I wouldn’t say there is really a meaningful uptick in either of those categories, yet. I would say without a doubt the reality is starting to set in, however, and as that is setting in I think we are going to start seeing more reasonable or realistic expectations from a seller’s standpoint. That will still take, in my guess, some more time but the reality is definitely starting to set in. Now, that has yet to equate to what you could characterize as a big wave or even I would even characterize still as, there oftentimes is a big year-end rush and I think everybody, even on the selling side, continues to be very, very cautious. So, again, I think, as I mentioned, the reality is starting to set in. What we have seen is what I would call some retread situations where something might have been brought to market earlier this year, the transaction didn’t take place, those sellers are starting to come back and retest the market. More often than not they are still pretty unrealistic relative to their own expectations as far as pricing and cap rates, etc. But again, the commentary is negative enough and the reality, again, is in that realm as well. So, we are expecting to see some situations pop up.
Operator: Your next question comes from Christopher Lucas - Robert W. Baird & Co., Inc.
Christopher Lucas: How are you thinking about your capital allocation choices right now? Stocks discounted, preferreds are trading at $0.60 on the dollar roughly and you have got potential opportunities in the acquisitions environment. Given your cash position and your cash generation capacity, how do you think about where those dollars need to go and where the return opportunities are best?
Joseph D. Russell: That is a moving target and it’s one that we have all seen can be very dynamic, almost on a daily basis relative to availability, cost, and just flow of capital. Obviously all of it has been very constrained. As I mentioned, our goal has been to be disciplined. We have been through other times in our company’s history where we have gone through links of time, like we have today, where we’ve literally not acquired anything in at least a year-plus period when we have seen that major disconnect in the markets. And our posture has been through today to stay nimble and to be as strong as we can. We’re willing to take the shorter-term dilution of just sitting on cash, and still building that cash position, to look for really strong opportunities. I think the wave that is going to come about in potentially the near term, and when I say that hopefully the next 12 months or so, is the wave of situations that are really going to have some heavy and pretty complicated demands on a seller. We are very optimistic that some good things can come that. So we will continue to be disciplined. It at times can be frustrating to be as disciplined because you want to keep moving forward. But at the same time it is something we are very prudent about. We love the position that we are in. And we are very confident we are going to find some very good opportunities. But I think, as you know, we are going to do that at the risk of potentially driving FFO to a certain level on a quarter-by-quarter basis. We are really looking for opportunities for our shareholder value in the long term. And we think the timing for that is still at hand but it is probably going to take a little longer.
Christopher Lucas: You talked a little bit about handling the lease expiration schedule for next year. Can you give us more color on the priorities and how deep you are going in terms of how deep into the year and to the size that you are looking at aggressively, dealing with your lease expiration schedule?
John W. Petersen: We have local teams in each of our markets that actually go in and talk with our customers. And they have clearly targeted every major lease into 2009 and potentially beyond if it’s a bigger, more complex transaction potentially. But on the other hand a lot of our customers are smaller in nature, as you know, and they’re not prepared to make a decision, let’s say if their lease expires in September 2009. So we know who they are and we have a method of tracking our customers and their space needs and that’s part of our business park philosophy, where they can grow and contract within our parks. So we have a very focused strategy and techniques and tactics that allow us to go into 2009. But clearly that’s what we are trying to do now and trying to get these customers, if it makes sense for us, to get early renewals done.
Christopher Lucas: On the bad debt expense, what was the sequential change from second quarter to third quarter?
Edward A. Stokx: There was no significant change at all. We had 500 for the nine months and that splits up pretty evenly per quarter. We’re generally in the 150,000 to 175,000 per quarter in terms of the total write-offs.
Christopher Lucas: What do you attribute to your real success here in keeping that number so low?
Edward A. Stokx: As I said in some of our prepared comments, we are very reactive to situations where we see a tenant, where they might start paying slow. We react very quickly. And if we need to make a change with the tenant, if we need to get them out, if there is a default situation, we react quickly. So that we don’t let these situations linger and the uncollectible rents accumulate. So that’s what I would attribute our success there. And then again, to our underwriting. We do a diligent job and we make sure that we have the right level of collateral if appropriate, based on the deal. So it all comes together and is evident in our success there.
Operator: Your next question comes from Jordan Sadler - Keybanc Capital Markets.
Jordan Sadler: Just following up on that bad debt question, it sounds like as a percent of rent it is holding up and it remains low. But that may be because your reactions are quick. Are you having to react more today?
Edward A. Stokx: I would say that we are definitely seeing an increase in the number of situations that we are monitoring. As I said, in addition to our underwriting we have a very thorough watch-list program where we monitor situations. And certainly that has increased and there is a higher visibility to a greater number of tenants. I wouldn’t call it a significantly alarming number but it definitely has increased.
Jordan Sadler: Earlier you said in terms of the environment you had a good September and then on October you said, “You know how it is out there.” I would have expected September would have been a tough month, but you had a great September. And yet you’re saying October, “You know how it is out there.” And I would say it seems pretty ugly from where guys like us on the phone site. Is that what we should take away? That’s what we know about, the capital markets. Is that indicative of what you are seeing in your leasing markets?
John W. Petersen: Not necessarily. As you know, we don’t talk about future leasing activity or anything else but we did have a good September, you’re absolutely right. And you’re sitting there thinking it wasn’t such a great time to do leasing and we were able to do that. Our teams were focused and energized and were able to finish out the quarter very strong.
Joseph D. Russell: And I think transitioning into October and looking at what is going on, the world at large, I will tell you that as we were in September, we continue to see leasing activity, the ability to drive leasing transactions and I think it is a validation of the focus that we have on the type of tenancy. We deal, and this is in and out of pressure points, economically and market cycles, etc., with a type of tenancy that, they don’t over-extend themselves typically, relative to their space needs. And alternatively, when a lease comes due they have got to step up to the plate if they still need that space. And by far the majority of the situations that we deal with, where a company is still a viable business and they need their space, I mean they’re going to get a lease signed. So that continues to be a focus of ours a big part of our business. I would tell you, even through October, we are definitely signing leases and there is activity there.
Jordan Sadler: What is a typical lead-time on your leases?
Joseph D. Russell: As far as us in dialogue with the tenant?
Jordan Sadler: Yes. Like soup to nuts. A new lease.
Joseph D. Russell: It can range from multiple months and that would, I would say, be more characterized with a renewal situation. As J. P has talked about frequently, we are very focused on our existing tenant base. We have got almost 4,000 customers and that continues to be a very key metric for us to focus on, to stay close and understand their business needs. And with our multiple buildings within the context of the business part, that’s one of the ways that we can often keep tenants, lease cycle to lease cycle, as their business needs change. So it’s to our benefit to be in active dialogue throughout their lease term. So when a lease comes due we have a very strong sense of what their needs are and how to address them. Now, on the new business generation side, it is a wide range. It is not unusual, for instance, you have a single tour with a tenant, you [inaudible] some underwriting, as Ed’s mentioned, get to know their financial posture, etc., and you can sign a lease in a very short period of time. Literally within a few days to maybe even less time than that. And we’re geared up to address that. And then whether it’s on a larger space or just space on a different situation, there may be more than one leasing tour, more than one or two lease negotiation steps, and again, our people are very skilled at working through those situations as well. So there is a wide range. The environment that we have seen evolve over the last few quarters, especially this year, is this very strong hesitancy for tenants of any type to be in a position to make a very quick decision. They want to be careful, they want to be methodical, and we work with them on that and make sure we understand what they’re trying to get accomplished and be very responsive to it.
Jordan Sadler: Do you track a pipeline of new leasing activity?
Joseph D. Russell: Yes, we do. Very thoroughly, very deeply, and very actively. We did 360 transactions last quarter. We typically do anywhere from 350 to 400, sometimes even higher, and when you are doing that kind of volume, we have multiple eyes and sets of data points that we look to relative to the kind of tour volume that we’re seeing, the kind of activity level, the pipeline that we’ve got, etc., etc. It’s a very active part of our business.
Jordan Sadler: So what did that pipeline look like at the end of September versus the end of June?
Joseph D. Russell: I would say it looks kind of like it typically looks, meaning there is a wide range of variety of situations and it is broad-based and it is a combination of renewal and new situations and just like you were asking, some of it may be timed for a month, two or three down the road. Some of it may be timed for this week. And again, that’s what we are very focused on leveraging relative to our ability to drive demand and get leases signed. And our people are very good at that.
Jordan Sadler: It didn’t fall off a cliff or anything like that?
Joseph D. Russell: Absolutely not. And you can see that quarter to quarter through what we’ve done this year. There is an economy out there, believe me. The economy at large is worrisome for everybody but we’ve talked about this in multiple situations as well, there has been more job growth in small business American, even through this year, than there has been in larger companies. Small business American, there’s vibrancy. Like we keep talking to. There is a broad and deep pool of users that we stay very focused on.
Operator: There are no further questions.
Edward A. Stokx: Thank everyone for participating and we look forward to talking to you next quarter.
Operator: This concludes today’s conference call.